Operator: Thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time, please press 0, and a member of our team will be happy to help you. Thank you for your continued patience. Your meeting will begin shortly. Please stand by. Your meeting is about to begin.
Operator: Good morning, everyone. Welcome to today's OneMain Holdings, Inc. Fourth Quarter 2025 Earnings Conference Call and Web Hosting. Hosting the call today from OneMain Holdings, Inc. is Peter Poillon, Head of Investor Relations. Today's call is being recorded. At this time, all participants have been placed in a listen-only mode. The floor will be open for your questions following the presentation. Press star one on your telephone. If at any point your question has been answered, you may remove yourself from the queue by pressing star two. We do ask that you please limit yourself to one question and one follow-up. Please pick up your handset to allow for optimal sound quality. Lastly, if you should require operator assistance, please press star 0 at any time. It is now my pleasure to turn the meeting over to Mr. Peter Poillon. Please go ahead, sir.
Peter Poillon: Thank you, operator. Good morning, everyone, and thank you for joining us. Let me begin by directing you to Page two of the fourth quarter 2025 investor presentation, which contains important disclosures concerning forward-looking statements and the use of non-GAAP measures. The presentation can be found in the Investor Relations section of the OneMain Holdings, Inc. website. Our discussion today will contain certain forward-looking statements reflecting management's current beliefs about the company's future financial performance and business prospects, and these forward-looking statements are subject to inherent risks and uncertainties and speak only as of today. Factors that could cause actual results to differ materially from these forward-looking statements are set forth in our earnings press release. We caution you not to place undue reliance on forward-looking statements. If you may be listening to this via replay at some point after today, we remind you that the remarks made herein are as of today, February 5, and have not been updated subsequent to this call. Our call this morning will include formal remarks from Douglas Shulman, our Chairman and Chief Executive Officer, and Jenny Osterhout, our Chief Financial Officer. After the conclusion of our formal remarks, we will conduct a question and answer section. I'd like to now turn the call over to Doug.
Douglas Shulman: Thanks, Pete. Good morning, everyone. Thank you for joining us today. Let me start with a brief overview of the company's 2025 performance. It was an excellent year with very strong earnings growth and meaningful progress on our strategic initiatives. All of the momentum we have built over the past few years came through in our 2025 results. Full year C&I earnings per share were $6.66, an increase of 36% year over year. Capital generation was $913 million, an increase of 33%. This outstanding earnings growth was driven by significant revenue growth, accelerated loss improvement, and continued focus on efficiency. And once again, we exhibited our balance sheet strength, raising $5.9 billion in 2025. Our receivables grew 6% to over $26 billion despite maintaining a tight credit posture throughout the year. Receivables growth was supported by focused initiatives to drive more high-quality personal loan originations as well as important contributions from our auto finance and credit card businesses. Revenue grew 9%, supported by higher yields in a constructive competitive environment. C&I net charge-offs were 7.7%, down 46 basis points from 2024. And consumer loan net charge-offs came down 63 basis points from last year, benefiting from the proactive credit actions we've been taking the last several years. In 2025, we continued to make significant progress across all three of our businesses, positioning the company for continued earnings growth in 2026 and beyond. Growth in our personal loans was driven by a series of targeted initiatives. Our debt consolidation product continues to grow. This valuable product, which allows customers to consolidate debt into a single predictable amortizing loan, typically reduces the customer's payment by about 25% on the debt they consolidate. We've also used data to reduce friction and serve more customers, including automated income verification and prepopulated auto collateral before a team member talks to a customer about a loan application. And we continue to increase our use of bank data that enables accurate real-time credit decisioning. We added a streamlined renewal product for our best customers and also created a new product that links a paycheck directly to our payment system, further expanding credit and reducing risk. We expanded our channels, including offering our best card customers a personal loan through our mobile app, allowing us to acquire new loan customers with zero acquisition cost. And this month, we are introducing a new secured lending product just for homeowners, securing the loan with home fixtures, which comes with beneficial pricing similar to our auto secured loan. All of these products allow us to drive originations volume without loosening our underwriting standards. This year, we've also continued to optimize our branch-based operating model to improve customer engagement while driving performance and efficiency. We've expanded the use of central sales and collections to seamlessly serve customers in real-time during periods of high volume. In this month, we launched a new AI-powered tool that gives our branch and central team members faster, easier access to internal policies and guidelines. By transforming enterprise knowledge into a plain language intuitive experience, this AI capability is designed to boost productivity, accelerate decision-making, and allow our teams to spend more time serving customers. This launch is just one example of our journey to embed AI across the organization to drive both efficiency and revenue. Initiatives like these across our product, operating model, data, and analytics are impactful in the aggregate, as they drive efficiency, improve our offers, and attract more customers. Turning to auto. In 2025, we grew receivables to $2.8 billion. This was a year of significant progress in building a scalable auto finance platform. We finished the migration of OneMain's legacy auto lending operation onto our new technology infrastructure. We also grew our dealer sales force this year and expanded our business into attractive new dealerships and markets. And I'm excited to share that we recently partnered with Ally Financial to form a pass-through arrangement on their ClearPass program. We've already rolled out to about 1,700 dealers and we'll be scaling the program further this year. We look forward to a very successful partnership with Ally in 2026 and beyond. Turning to credit card. We continued to build momentum in 2025. Receivables grew to $936 million and accounts increased to nearly 1.1 million customers at year-end. We continue to refine our product offering this year. We introduced a number of new cards, adjusting reward levels, credit lines, and other features. This allows us to tailor our unique product offering of payments equal progress to more customers while also managing credit and risk. As we scale the business, improvements in digital engagement are driving efficiency. For instance, in 2025, our digital efforts led to a reduction in customer calls per account, reducing marginal operating expense per account by 25%. While credit cards remain a small percentage of our overall business, making up just 4% of receivables, we're seeing progress in its performance. And as we drive efficiencies and reduce losses, we are seeing an acceleration in capital generation in the card business. During 2025, we also continued to help our customers manage their financial lives. We had continued adoption of our financial wellness platform on our mobile app. The platform provides customers with free financial wellness tools, such as credit score monitoring, budgeting, expense tracking, and bill negotiation. In 2025, we had a 36% increase in customers using the product. Our free financial education program, CreditWorthy by OneMain, has now reached more than 600,000 high school students in nearly 5,000 high schools or 18% of all high schools in the United States. Many of our team members volunteer and engage with students throughout the year, making a difference in the communities where they live and work. We're proud of the impact CreditWorthy is having on students, delivering early practical financial education that helps them build the skills they need to responsibly manage credit and build a brighter financial future. Additionally, in 2025, we saw continued recognition of the special workplace we have built at OneMain Holdings, Inc. as we were recognized by the Best Practice Institute as one of America's most loved workplaces for the fourth year in a row. This distinction is based on team member feedback and reflects the culture we continue to build. One grounded in high performance, teamwork, respect, personal growth, and a shared commitment to serving our customers. This culture is a real competitive advantage for our franchise, supporting employee engagement, strong execution, deep customer relationships, and consistent outperformance over time. Now let me turn to the great results for the fourth quarter. C&I adjusted earnings were $1.59 per share, up 37% from last year. We grew capital generation by 23% to $225 million. Our receivables grew 6% year over year, and revenue grew 8%. Our 30-plus delinquency for consumer loans was 5.65%, in line with expectations and better than pre-pandemic seasonal trends. We also continue to see strong recoveries in the business and better roles from delinquency to charge-offs. C&I net charge-offs were 7.9% in the quarter, and consumer loan net charge-offs were 7.6%. We saw significant improvement in net charge-offs in 2025. Our overall portfolio continues to perform in line with our expectations, and we remain confident that our careful management of credit will lead to losses continuing to improve in the coming years. Moving to the auto finance business, receivables increased to $2.8 billion at year-end. Losses remain in line with expectations, and we are excited about the future prospects of this business. In our credit card business, we added $102 million in receivables and 88,000 customer accounts during the quarter. We're really pleased that the losses in the card business improved measurably in 2025. This performance underpins our confidence in the business in 2026 and beyond. Let me now turn to capital allocation. Our first use of capital is originating loans that meet our risk-adjusted returns. We also continue to invest in the business to meet customer needs, drive efficiency, and build an enduring franchise. Our regular annual dividend, which is currently $4.20 per share, represents an approximately 7% yield at today's share price. And we are committed to a programmatic share repurchase program. In October, our board approved a $1 billion share repurchase program through 2028. In the fourth quarter, we repurchased 1.2 million shares for $70 million. That is up from $32 million of repurchases in the third quarter and is double the $30 million repurchased in all of 2024. Unless we see other more attractive strategic uses of capital, we would expect incremental capital returns to be weighted more towards share repurchases in 2026 and beyond while maintaining our commitment to the dividend. As we enter 2026, the consumer continues to be supported by some positive trends, including low unemployment. With that said, we saw a slightly weaker labor market in 2025, and inflation has been persistent. So we are maintaining our conservative underwriting posture. Importantly, OneMain Holdings, Inc. customers remain resilient, and we feel good about our portfolio, which reinforces our outlook for continued capital generation growth in 2026. With that, let me turn the call over to Jenny.
Jenny Osterhout: Thanks, Doug, and good morning, everyone. I share Doug's enthusiasm about the strong financial results achieved in 2025, as well as the notable progress made toward our long-term strategic priorities. I'll begin today by focusing on the quarter and then I'll get into expectations for 2026. Our fourth quarter results demonstrated continued improvement across our key financial metrics, highlighted by strong revenue growth, steady credit performance, and capital generation that grew 23% year over year. We continued our active management of the balance sheet this quarter, raising $1 billion in the unsecured market, bringing our total funds raised in 2025 to $5.9 billion. We also accelerated our pace of share repurchase volume in the fourth quarter. Combined with our dividend, total capital returned to shareholders increased to $639 million in 2025, up 20% from 2024. Fourth quarter GAAP net income of $204 million or $1.72 per diluted share was up 64% from $1.05 per diluted share in 2024. C&I adjusted net income of $1.59 per diluted share was up 37% from $1.16 per diluted share in 2024. Capital generation, the metric we use to manage and measure our business, totaled $225 million, up $42 million from $183 million in 2024, reflecting strong receivables growth across our products, higher portfolio yields, and good credit performance. Managed receivables finished the year at $20.3 billion, up $1.6 billion or 6% from a year ago. Fourth quarter originations were $3.6 billion, up 3% year over year, in line with recent seasonal trends. Consumer loan originations for the full year were up 8%. We are pleased with our growth trajectory. As we have laid out before, our underwriting approach remains conservative, designed to generate a minimum 20% return on tangible equity even with a stress overlay on losses. So while we continue to actively manage credit, we have also been growing through enhanced customer experience, personal loan product innovation, and our new products. Combined, this has helped to drive year-over-year annual originations and receivables growth, giving us solid momentum going into 2026. Turning to yield. Our fourth quarter consumer loan yield was 22.5%, up 26 basis points year over year. We continued to benefit from pricing actions taken over the past few years, with a partial offset from the increasing mix of our lower loss, lower yield auto finance receivables. As we look ahead to 2026, we expect consumer loan yield will remain around this level, assuming a steady product mix and competitive environment throughout the year. We also saw measurable improvement in our credit card revenue yield in the quarter, which was up over 100 basis points from 2024. As we look to 2026, we expect to see this continue, supporting overall revenues as the book grows. Total revenue was $1.6 billion, up 8% compared to 2024. Interest income of $1.4 billion increased 8% from the fourth quarter last year, driven by receivables growth and the yield improvements I just mentioned. Other revenue of $195 million was up 10% from last year, primarily due to higher gain on sale related to our larger whole loan sale program and higher credit card revenue as the card portfolio continues to grow. Full year revenue growth was 9% year over year. This was a function of the book growing, portfolio yields reflecting the pricing actions we started in 2023, and revenue increases as the card portfolio matures. Interest expense for the quarter was $323 million, up 4% compared to 2024, driven by an increase in average debt to support our receivables growth, partially offset by a lower average interest rate as our interest expense as a percentage of average net receivables fell to 5.2% this quarter, down from 5.3% in 2024. Full year interest expense came in at 5.3%. Strong execution across our multiple financings this year, as well as opportunistic liability management, most notably the refinancing of our 9% debt in the third quarter, enabled us to reduce our funding costs below our initial 2025 expectations. Looking to 2026, over 90% of our expected average debt is on the books already at fixed rates. And we have good line of sight to 2026 funding costs and expect interest expense as a percent of receivables to be similar to 2025 level. Fourth quarter provision expense was $542 million, comprising net charge-offs of $492 million and a $50 million increase to our reserves driven by the growth in our receivables during the quarter. Our loan loss reserve ratio of 11.5% was flat compared to both last quarter and last year. Policyholder benefits and claims expense for the quarter was $48 million, down modestly from $49 million in the fourth quarter last year. As we look forward, we expect quarterly claims expense to increase slightly to the mid- to high $50 million range due to growth in the book. Let's turn to credit, starting on Slide 10. 30-plus delinquency on December 31, excluding Foresight, was 5.65%, flat to last year's particularly strong performance. As shown on Slide 11, we continue to see delinquency performance better than pre-pandemic benchmarks and in line with expectations. As 30-plus delinquency increased 24 basis points quarter over quarter, below the pre-pandemic sequential increase of 33 basis points. You'll also note that 2024 outperformed our pre-COVID benchmarks, increasing only eight basis points sequentially. This strong delinquency performance at the end of 2024 drove accelerated net charge-off improvement in 2025. While the front book, which we define as consumer loan originations post-August 2022 credit tightening, continues to perform in line with expectations, the poor-performing back book remains a headwind. It is still 17% of our 30-plus delinquency, despite comprising just 6% of the portfolio. At this point in time, we would typically expect the back book to make up about half as much in total delinquencies. This higher contribution to delinquency is due to the weaker performance of the back book as well as the pace of originations growth due to our conservative underwriting posture over the past several years, given the macroeconomic environment. Moving to net charge-offs for the quarter. As shown on Slide 12, fourth quarter C&I net charge-offs, which include the results from our small but growing credit card portfolio, were 7.9%, flat year over year. These results were aided by strong recoveries in the quarter, in line with positive trends over the past few years. Recoveries grew 16% year over year to $89 million, representing 1.4% of receivables. For the full year, C&I net charge-offs declined by 46 basis points to 7.7%, towards the lower end of the guidance range we provided at the beginning of the year. Fourth quarter consumer loan net charge-offs, which exclude cards, came in at 7.6%, down seven basis points year over year. For the full year, consumer loan net charge-offs declined by 63 basis points year over year, a steep decline from 2024. Credit card net charge-offs improved 22 basis points year over year to 17.1% in the quarter. So we are getting close to our target range. In the fourth quarter, we saw the credit card portfolio's 30-plus delinquency performance improved by 83 basis points versus the prior year. This trend is a positive indicator of future performance that we expect will benefit card net charge-off as we look into 2026. As a reminder, while we really like our credit card performance, it will pressure C&I losses higher as it becomes a bigger part of our overall portfolio. Loan loss reserves ended the quarter at $2.9 billion. Our loan loss reserve ratio remained flat both sequentially and year over year at 11.5%. The macroeconomic assumptions in our reserve calculation remain fairly consistent with prior periods and assume what we believe is an appropriate level of reserve considering the continued uncertainty around inflation and unemployment in the quarters ahead. We will continue to assess reserve levels and expect that we would reduce our coverage level as the uncertainty around the macro subsides and we continue to see improvement in the performance of the portfolio. Given our evolving product mix, we expect our reserve coverage to remain around the current level over the near term. Now let's turn to Slide 13. Operating expenses were $443 million, up 5% compared to a year ago, as we continue to invest to drive future growth. The 6.7% OpEx ratio this quarter compares to 6.8% last year and was in line with expectations. We strategically invest in future growth through technology, data analytics, and our new products while also closely managing costs to maximize profitability. We take the dual task of cost management and investment for the future as fundamental to how we operate the business. And we continue to see meaningful opportunities to invest while improving our operating expense ratio. As we look forward, we are confident that the business will continue to provide operating leverage in the years to come. Now turning to funding and our balance sheet on Slide 14. During the quarter, we continued to optimize our balance sheet. We issued a $1 billion unsecured bond at 6.5%, maturing in September 2033. The offering was well subscribed as we continue to attract both new and returning investors to our program. A portion of the funds were used to redeem the remaining approximately $400 million of our 7.18% unsecured bonds originally scheduled to mature in March. This was redeemed last month. We now have no scheduled maturities until January 2027, giving us added flexibility on funding amounts and timing in 2026. In 2025 in total, we issued $4 billion in unsecured bonds through five separate issuances and two revolving ABS issuances totaling $1.9 billion, with all offerings seeing healthy demand, resulting in attractive pricing. We believe our strong record of issuance across both the secured and unsecured market reinforces our position as an industry-leading issuer with best-in-class execution. We were able to take advantage of market conditions to reduce our secured funding mix throughout the course of the year to 50%, down from 59% in late 2024, while simultaneously reducing our interest expense as a percentage of receivables. This balanced secured mix provides us with more flexibility as we look at our funding options in 2026. Last quarter, we mentioned the expansion and extension of our forward flow program. The $2.4 billion program runs through mid-2028, with approximately half executed in 2026. As we look forward, higher loan sales in 2026 will impact our other revenue line item, with slightly higher quarterly gains on sale and higher servicing income over time. We believe this program is indicative of the attractiveness of our differentiated business model and provides us additional diversification in funding, benefiting our overall public markets program. At the end of 2025, our bank lines totaled $7.5 billion, unchanged from last quarter, and our unencumbered receivables grew to $11.8 billion, up about $900 million from last quarter. Our net leverage at the end of the fourth quarter was 5.4x, comfortably within our targeted range of four to six times. Overall, we feel great about the strength of our balance sheet and ability to continue to opportunistically issue when markets are most attractive in the quarters ahead. I'll summarize 2025 by simply saying it was an outstanding year, as we met or exceeded our expectations across the board in a period of uncertainty. Now let me look ahead to 2026. We expect managed receivables to grow in the range of 6% to 9%, supported by continued innovation in our customer experience, personal loan offerings, and growth in our newer products. This assumes we continue to maintain our current conservative underwriting posture. We expect C&I net charge-offs in the range of 7.4% to 7.9%. As a reminder, C&I includes consumer loans and the growing credit card portfolio. Our guidance assumes the softness in the current labor market continues throughout 2026, along with persistent inflation. To the extent we see macro improvement, we could come in towards the lower end of our range. We expect losses to follow seasonal patterns above the range in the first half of the year and below the range in the second half. Finally, we expect the full year OpEx ratio to be modestly better than last year at approximately 6.6%, as we continue to manage expenses and invest in our new products and digital capabilities that aid our customer interactions and benefit our team member productivity and effectiveness. All of this leads to our expectation for continued capital generation growth in 2026. We see really good momentum looking into 2026 and beyond, and we're confident in our ability to drive shareholder value by continuing to provide value to our customers. So with that, let me turn the call back to Doug.
Douglas Shulman: Thanks, Jenny. Let me end by saying we continue to feel great about the key drivers of our business. We're serving more customers through continued product innovation and the ongoing scaling of our auto finance and credit card businesses, positioning OneMain Holdings, Inc. as the lender of choice for hardworking Americans. We continue to manage credit carefully through an evolving macroeconomic environment, driving market-leading risk-adjusted returns. We are investing to support growth and core capabilities across products while maintaining tight expense discipline. And our industry-leading balance sheet that is highly diversified with a long liquidity runway continues to be a key competitive differentiator. I've spoken before about the enduring franchise value we have created at OneMain Holdings, Inc. We built a lot of momentum over the last several years and are excited about continuing to drive capital generation growth and build shareholder value in 2026 and beyond. I'll close by offering my thanks to all of the OneMain Holdings, Inc. team members for their great work that made 2025 such a success and for their ongoing commitment to our customers. With that, let me open it up for questions.
Operator: Thank you, Mr. Shulman. Ladies and gentlemen, the floor is now open for your questions. If at any point your question is answered, you may remove yourself from the queue by pressing star 2. Again, we do ask that you pose your question that you pick up your handset to provide optimal sound quality. We'll go first this morning to Moshe Orenbuch of TD Cowen. Moshe, please go ahead.
Moshe Orenbuch: Great. Thanks. I know that both you, Doug, and Jenny have talked a little bit about your outlook for credit. Doug, you had said kind of at a high level that, you know, credit continues to improve. Jenny, you had sort of said it will be a little worse than seasonal patterns in the first half of the year, a little better in the second half. I guess, is there a way to kind of tie this all together? I mean, you know, is it really just that 17% of delinquencies moving through or are there other things going on, you know, kind of as you think about your guide for, you know, for the full year losses kind of showing stability as opposed to improvement for 2026?
Jenny Osterhout: Thanks, Moshe. Let me chime in here. So I think part of this is 2025 was really a remarkable year. I mean, you can see that we really saw major loss benefit. We talked about this, but the C&I net charge-offs coming down 46 basis points and consumer loan losses coming down 63 basis points. They're really coming off of the 2024 higher losses. And so that's allowed us to generate a lot of capital and increase our cap gen by 33%. So we're coming down from there. And we really like what we're underwriting. So if I then take that to looking forward, we see the vintages in the front book performing in line with our expectations. I talked a little bit about some of that pressure that we see from the back book. That's the pre-August 2022 back book and how that's still outsized in terms of its contribution to delinquency and losses. And then the other piece to keep in mind for C&I is there's some impact on losses from card. In 2026, it's adding about 10 basis points more than it did in 2025, which was about 35 basis points. So we are seeing some positive trajectory there. And then I just remind you that our loans target at 20% return on equity threshold. So we do see very good profitability when we look at the risk-adjusted returns. So that guide that we gave you gives you a range. It also assumes that soft unemployment and persistent inflation we spoke about earlier. And so to the extent the macro improves, we could see some benefit there. I also want to go back to I think we see it higher in the first half and lower in the second half. I wouldn't expect for it to see worse than sequential. Just to go back to the beginning of your question.
Moshe Orenbuch: Okay. Alright. Thanks. On a separate topic, I think it was almost a year ago that you put in the application for the ILC. Assuming that is approved, can you talk a little bit about what you're gonna be doing, what are the first steps, and what that's gonna mean for pricing and loan growth?
Douglas Shulman: Yeah. You know, we applied for an ILC license. You've seen a couple have been granted this year. People who actually, you know, auto companies who had been there quite a bit before us. And as I've said before, we think we have a very strong application. We think we're qualified to be a bank. And we're progressing through the application process. You know, I think what you know, the timeline, a, I won't predict any timeline whether we'll get it or not. And you know, if we get it, when it would happen. So, the timeline would be it would take about a year to set it up. And so you know, any positive effects are probably a 2027 event, assuming you know, something happened this year. I do think it'd be accretive to the strategy. I do think we would be able to serve more customers. I think we'd have a more standardized rate, structure, operational structure nationwide. We'd have our own bank for our card business. And we'd have access to deposits, which would even further diversify our really strong balance sheet. And so you know, we have a really strong business plan that we feel great about without an ILC. This would be additive and accretive to it, and we're, you know, very positive and hopeful it'll come to pass.
Moshe Orenbuch: Thanks very much.
Operator: Thank you. We go next now to John Hecht of Jefferies. John, please go ahead.
John Hecht: Good morning, and thanks for taking my questions.
Douglas Shulman: Good morning, John.
John Hecht: Thanks very much. You talked about rolling out the new like, co-merchandise backed products. The Ally program, are those programs in, you know, on products, are there pilot periods of those or because they're different, you know, relative to, say, like, the credit card that you're gonna roll them out pretty quickly? How do we think about that?
Douglas Shulman: Yeah. Look. All of our, two different things. The homeownership product is in our personal loan. Every time we roll something whether it's expanded debt consolidation, even prepopulating VINs in auto for our customers or our streamline renewals or our link to paycheck, we always pilot them and are looking to see, you know, we have certain models that say, what will it do to customer pull-through rate? How will the credit perform? How's the pricing in relationship to the credit? Because as you know, we just met we manage the risk-adjusted returns. And so for the homeowner product, we have launched we'll launch it as a pilot like we do for everything else, make sure it's performing well. And if it is performing well, we'll do a full rollout. I think the Ally partnership is just getting started. You know, that's a partnership where you know, an auto dealer sends an app you know, an auto dealer gets to choose where it sends applications. It sends one to Ally, and we're now in the pass-through, which is basically a turndown program. Ally doesn't take but we're now one of their partners in the pass-through. We started with dealers that we already had relationships with. So we already had a contract so we could book loans with. And then we're gonna be rolling it out further. So that's probably you know, I think of that as it's not a pilot, but it's at the very beginning of a partnership. And any partnership you know, you wanna roll out in a pace and responsible fashion.
John Hecht: Okay. And then you we all know that a debt consolidation is one of the primary, I guess, use cases of the product. I'm wondering what are other main use, I guess, drivers of demand and what do those tell you about call it, the state of your borrower?
Douglas Shulman: Yeah. I mean, look. The demand's been pretty similar. About a third is usually debt consolidation where people are taking a whole bunch of other credit they have consolidating it onto a single amortizing loan, getting control of their finances, and getting, you know, as we told you, usually, you know, our average customer has about 25% decrease in their monthly payment when they do debt consolidation with us. There's always a chunk of customers and it hasn't changed a lot, who for emergency needs, you know, whether it's hot water heater breaks, or they got car repairs, or something else like that. And then there's a whole set of customers who are using it for discretionary. You know? We have customers who know, wanna pay for their granddaughter's horseback riding, or they wanna take a vacation, or they're rolling over a loan from somewhere else. And so I don't think there's any great you know, there hasn't been a lot of changes, John. And so I don't think it's stating anything new about you know, I don't think the use of funds is stating anything new about our customer right now.
John Hecht: Okay. Thanks for the color. Appreciate it.
Operator: Thank you. We'll go next now to Aaron Cyganovich of Truist Securities. Aaron, please go ahead.
Aaron Cyganovich: Thank you. In terms of loan growth, the originations for the quarter year over year were 3% and total loan growth 6%, but the guide for 26% is 6% to 9%. What's some of the optimism that you're laying in there while you're still layering, you know, that 30% kind of credit overlay?
Jenny Osterhout: Thanks for the question. So you're right. In terms of the quarter, we saw 3%. Really, if you look at the whole year, we had 8% origination growth in 2025. All of that eight percent also had pretty tight underwriting standards. So as we look to next year, we did assume that same macro environment, and we assumed we kept those underwriting standards. It's really some of the efforts that Doug just talked about in terms of the innovation on the personal loan product. But I'd also say it's team member effectiveness. So as we look at ways to improve the productivity of our team members and help them to find things faster and be able to help customers make sure they get the right offer, look at the right offer, and how we can digitize some of that. And then there's also the efforts we've been working on in terms of our new product and their share of the book. If we look at 2025, the new products contributed about 42% of our growth. So we're expecting continued growth in the new products as well as for next year. So when you pull that all together, it's driving our expectations of that guide of six to 9% for 2026. And I just say, you know, growth is an outcome for us. We are always looking to meet those return hurdles that I mentioned before, so above the 20 return on tangible equity. And we really see opportunities next year. We work on those. We always have I like to think of it almost like R&D going. And I think really what you're seeing is the output of all those behind-the-scenes efforts that we've had going in the background this year.
Aaron Cyganovich: Got it. Thanks. And then in terms of capital return, share repurchases were nicely higher in the quarter, and you have the larger program that you've authorized recently. Can you talk a little bit about share repurchase pace? Is that going to be up notably in 2026?
Douglas Shulman: Yeah. Look, we, as I mentioned before, we're very committed to our healthy dividend. But we think, you know, unless we see another use of capital, the incremental capital generation and the excess capital are biased is towards share repurchase. You know, we never predict exactly what it'll be. You know, as we mentioned, you know, fourth quarter was double what all of 2024 was. I think you know, you can do the math on how much capital we're generating, which is a lot more than the last couple of years. In 2025, we did. And, you know, we said we think we're gonna generate more this year. Take out the dividend, the amount of capital we need for growth, for expense and in investing in the business. And so you know, our bias will make decisions, you know, on an ongoing basis. Is to put the majority of the rest of that into share repurchases.
Aaron Cyganovich: Thank you.
Operator: Thank you. We'll go next now to Mihir Bhatia of Bank of America. Mihir, please go ahead.
Mihir Bhatia: Good morning. Thank you for taking my question. First question I wanted to ask. Could you start Mike, I just wanted to ask about tax refunds. You know, a lot of people are obviously calling for higher tax refunds this year. How are you thinking about tax refunds? Is that in your guide? And if I can just ask on that topic, can you just talk about the implications if you get higher refunds, if we do see higher tax refunds on your customer base, would that be, like, both on the credit and on the loan demand side if there is any, typically? Thank you.
Jenny Osterhout: Yep. So tax season is obviously a huge focus area for us. I mean, it's a driver of our credit performance. And drives that normal seasonality that you see where refunds typically improve delinquencies in the first quarter and drive losses down into their seasonal low in the third quarter. We don't have an expectation yet for what's going to come this tax return season. It just began. And really for us, to the extent we see those returns come in better than expected, that would bring you into the low range. So that should give you some sense sort of of where it would take us.
Mihir Bhatia: And then just on the loan demand, is there any loan demand side impact of
Jenny Osterhout: Yes. That's fair. So we do typically see in the first quarter, and some of that is driven by tax returns. I think, again, we talked about our the growth that we're expecting, and a lot of that growth being driven by new either new product innovation on the personal loan side or in our newer products in auto and credit cards, advancements that we're making there. So I'm not expecting if you saw an increase in tax return season, I'm not sure that I would expect for it to really mute growth too much.
Mihir Bhatia: Got it. And then if I can ask on name of really interest yield because you talked about interest expense already, Jenny. But just given the card product, some of the newer products that are coming on, anything you can give us on just how we should expect interest yields to trend this year.
Jenny Osterhout: So consumer loan yield today is at 22.5%. That's up about 26 basis points from last year in the fourth quarter. So, you know, and if I look at for the year for 2025 as a whole, we were up 43 basis points. So you're gonna get some benefit from those yields going up. Dependent on product mix, it's going to determine what our yields will be going forward. Auto comes with lower yields, but obviously comes also with that better credit performance. Credit. We've seen most of the gain that we've had from that increased pricing that I mentioned earlier since mid-2023. And we really like where our yields are. So I think and the risk-adjusted returns that we're generating. So I really think that the yields for the go forward, I'd expect something similar to what we have today.
Mihir Bhatia: Got it. Thank you for taking my questions.
Operator: Thank you. We go next now to Mark DeVries with Deutsche Bank. Mark, please go ahead.
Mark DeVries: Yes, thanks. I have a related follow-up to the last question. If you can just talk about the decision to kind of drop the revenue growth guide from your full-year guidance. It sounds like from a yield perspective, and an interest expense perspective, you expect that to be flat, so spread's kind of unchanged. Should we generally expect revenue growth to kind of track your managed receivable growth guidance? Or is there something about kind of the ramping up of the pass-through that could create a little bit more lumpiness in revenues relative to just kind of the receivables growth?
Jenny Osterhout: So you're right. I think we gave you all the pieces, but we didn't sort of cook it for you. So we had really strong revenue growth in this year. So that 9.3% revenue growth. And that was driven by both the portfolio growth and those improving yields I just talked about. So then if I just talk about the pieces that we've given you, and I'll take through them, but it's very similar to what you mentioned. So it's that flat yield year on year. You're basically going to see revenues rise with the asset growth. So with the 6% to 9% managed receivables. One thing to consider is we also have that whole loan sale program that I mentioned, which gives a little bit of benefit to revenues, but it's also growing to about half of the $2.4 billion in 2026. So you need to think about that and think about the on-balance sheet growth in terms of the revenue growth, and that should give you a pretty good sense of where it's going.
Mark DeVries: Okay. Got it. And then I had a separate question about the whole loan sales and how you think about that longer term. I understand that it's a nice funding diversification strategy, but to your credit, you guys have built very strong liquidity, a lot of funding flexibility. How do you think about just kind of giving up some of those returns versus just keeping them and having confidence in your ability to fund just through the unsecured markets longer term?
Jenny Osterhout: We think a lot about it. You're right. I mean, we see we have great access to in the public markets, I think you can really see that. Year. I mean, it was a pretty remarkable year with that $5.9 billion that we were able to raise. But we always look at opportunities. We think of the whole loan sale program as a way to provide funding flexibility. And so really, when we look at it, we're looking at the economics and the terms to make sure it makes sense for us. So I, you know, that $2.4 billion program that we have, you know, we think it has attractive pricing, and we like that diversification that it gives us for our balance sheet. And really, it's about those considerations and how it helps us meet our strategic goals and thinking about those economic trade-offs. Obviously, it gives you a little bit of higher gain on sale, and then you get the servicing income. So there's, you know, a nice diversification in having different revenue streams. But that gives you sort of some of the components for how we think about it.
Douglas Shulman: The only thing I would add also is it gives us a lot of strategic optionality. We have way more demand. A lot more people would love to buy our loans. We're pretty careful about it. And as you know, Jenny mentioned, it's diversification. You know, five years or so ago, we got the pipes working, so the whole thing worked. Allows us to think about it's not what we do now, which is are there things that are unique platform can do, which is, you know, generate now a whole range of different lending products, underwrite them, you know, attract customers, and service them. Are there things we don't want on our balance sheet in the future that others might want on their balance sheet? And so in addition to being a nice, valuable, accretive piece of our current balance sheet, it also is great for strategic optionality for the franchise.
Mark DeVries: Got it. Thank you.
Operator: Thank you. We'll go next now to Rick Shane with JPMorgan. Rick, please go ahead.
Rick Shane: Hey, thanks so much for taking my questions this morning. When we look at the charge-off rate on the credit card book, it has improved, and you guys have talked about that. And I think there really are probably three reasons why. One is fundamental improvement. The second is seasonality. And the third is denominator effect from the growth. When we think about the card book long term, what is your target loss rate? Because at the moment, yes, the actual reported net charge-off rate has come down, but the lag loss rates flatten me out a little bit. I'm curious where you think this is gonna go.
Jenny Osterhout: Happy to talk about that. You're right. We saw those net charge-offs improve by about 22 basis points from last year to 17.1% in the fourth quarter. We expect for those to continue to improve based on what we've seen in card delinquency performance, which I mentioned is down 83 basis points. So it gives you a little bit of a go-forward guide. And it's a step towards bringing our book into that expected long-term range, which I would say is in the 15% to 17% range. We've really been able to drive those. You mentioned some of it. But through some of that typical portfolio seasoning, but also a lot of actions that taken to improve our servicing and recovery capabilities. You know, this we ran this new product almost like a startup. So don't focus on some of those later pieces right at the very beginning. So we did find, you know, still there were areas that we could improve. And I'd just say and remember that our revenue yields on cards allows us room to be able to do that and cushions those higher losses. So overall, credit card portfolio, we think, remains quite strong. And we think we see that as a way to support our continued capital generation in the years ahead.
Rick Shane: Got it. That's very helpful. And to follow-up on that a little bit, and capital generation is exactly what I wanted to talk about. You guys have laid out sort of the plan, and clearly, you are forming more capital than you can redeploy into the business, and you were returning it to shareholders in a very deliberate way. I am curious when you think about capital, held against your traditional consumer loans versus your growing credit card portfolio.
Jenny Osterhout: Levels are higher. So, our card reserve levels are around 22%. But if I look overall at our book and how we think about growing the card, I mean, we really manage capital across the business, and we're focused on being able to manage to these rich this 20% return on tangible equity hurdle. And we apply we've been talking about how we also apply additional stress, and we do that across all our products as well. So that's sort of how I would think about it. And I think we feel I mean, especially on cards, we feel like it's gonna be a great source of profitability for the future.
Rick Shane: Got it. Okay. Thank you very much.
Douglas Shulman: Folks, we are up against the hour. Let me just end by saying, you know, in 2024, we told our investor base that we'd position our business for significant earnings growth going forward. This played out in 2025, and we're now generating very healthy earnings and capital generation. Our ability to drive losses down by over the last three years, carefully managing the book and finding great customers, has been a major part of it. Despite the fact that there is persistent inflation and there was a slight uptick in unemployment, the customers on our book are performing really well. And we don't anticipate that changing this year. So we feel really good for 2026 and beyond, but especially 2026 to be another year of strong earnings and capital generation. We thank everybody for spending time with us on the call, and as always, our team's available for follow-up. So thanks, everyone, and have a great day.
Operator: Thank you, Mr. Shulman, and thank you, Ms. Osterhout. Again, ladies and gentlemen, this will conclude today's OneMain Holdings, Inc. Fourth Quarter 2025 Earnings Conference Call and Webcast. Again, thanks so much for joining us, everyone, and we wish you all a great day. Goodbye.